Operator: Good day, and welcome to the Xcel Brands 2020 Q3 Financial Results Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Andrew Berger, Investor Relations. Please go ahead.
Andrew Berger: Good evening, everyone, and thank you for joining us. We appreciate your participation and interest and hope that all of you are safe in these challenging and uncertain times. With us on the call today are Chairman and Chief Executive Officer, Robert D'Loren; Chief Financial Officer, Jim Haran; and Executive Vice President of Business Development and Treasury, Seth Burroughs.  By now, everyone should have access to the earnings release for the third quarter ended September 30, 2020, which went out a short while ago. And in addition, the company plans to file with the Securities and Exchange Commission its quarterly report on Form 10-Q by November 13, 2020. The release and quarterly report will be available on the company's website at www.xcelbrands.com. This call is being webcast, and a replay will be available on the company's Investor Relations website.  Before we begin, please keep in mind that this call will contain forward-looking statements. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from certain expectations discussed here today. These risk factors are explained in detail in the company's most recent annual report filed with the SEC. Xcel does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise.  In addition, the ongoing COVID-19 pandemic continues to have a significant impact on the company's business, financial condition, cash flow and results of operations. There is significant uncertainty about the duration and extent of the impact of the virus. The dynamic nature of these circumstances means that what is said today on this call could change materially at any time.  Finally, please note that on today's call, management will refer to certain non-GAAP financial measures such as non-GAAP net income, non-GAAP diluted earnings per share and adjusted EBITDA. Our management uses these non-GAAP metrics as measures of operating performance to assist in comparing performance from period-to-period on a consistent basis and to identify business trends relating to the company's results of operations. Our management believes these financial performance measurements are also useful because these measures adjust for certain costs and other events that management believes are not representative of our core business operating results, and thus, they provide supplemental information to assist investors in evaluating the company's financial results.  These non-GAAP measures should not be considered in isolation or as alternatives to net income earnings per share or any other financial measure of financial performance calculated and presented in accordance with GAAP. You may refer to the attachment on the company's earnings release or Part 1, Item 2, of the Form 10-Q for a reconciliation of non-GAAP measures. Now I'm pleased to introduce Robert D'Loren, Chairman and Chief Executive Officer. Bob, please go ahead.
Robert D'Loren: Thank you, Andrew, and good evening, everyone, and thank you for joining us. I hope all of you and your families are staying safe and healthy. I will start today's call with some brief opening remarks followed by an overview of our third quarter financial performance and then provide some operating highlights. After that, our CFO, Jim Haran, will discuss our financial results in more detail.  It has been only 8 months since the COVID-19 pandemic first hit the U.S., yet in that short time, we have seen an extraordinary amount of business, economic and social change and retail technology development. The disruptive forces that have been affecting the retail industry over the past few years have been greatly accelerated by the pandemic. However, we at Xcel Brands believe that our strategy, which is based upon an agile operating model, omnichannel distribution, integrated technology platform and social media and live streaming marketing and sales capabilities, will enable us to achieve success in this current environment and in the post-COVID world. While we are taking appropriate actions to safeguard our assets, resources and employees, we are continuing to execute on and invest in our strategy to move forward to emerge from the current crisis even stronger than before.  Over the past 5 months, our interactive TV business with QVC has been back on track, and QVC's business model has proven that it is not only sustainable, but it's right for the moment, given recent trends in live streaming as a vehicle to sell products. We believe that we are positioned well for this live streaming trend given our track record of success and generating over $3 billion in retail sales of products via live streaming on QVC over the past 10 years, and we are actively focused on leveraging live streaming technologies across other lines of business.  Our Q3 financial results have been impacted by COVID-19, both in top line revenue and bottom line results, primarily caused by decreased revenues in Xcel's wholesale business and our licensees' wholesale businesses. As previously mentioned, our interactive TV business and our direct-to-consumer, Judith Ripka, e-commerce and Longaberger peer-to-peer social commerce businesses are performing well. We expect to accelerate growth in these direct-to-consumer businesses by launching live streaming capabilities in 2021.  Finally, I am extremely excited by the potential of these businesses. Now I would like to review our operation by channel distribution. Our interactive TV business is fully back on track after 2 months of soft sales in April and May. This was primarily driven by outstanding performance in our Isaac Mizrahi Live brand and the successful development of more products that are working well in the current environment, including loungewear, sleepwear, face mask and food and beverage.  Recently, we launched our H Halston brand on HSN, The Shopping Channel in Canada, TVSN in Australia and on QVC U.K. in Italy on a wholesale basis. In our non-QVC Licensing business, we continue to develop and manage our portfolio of over 70 licensees across our brands. As previously reported, we expected our non-QVC licensees to experience canceled orders and reduced sales in their wholesale businesses from the impact of COVID-19. Accordingly, we experienced a 62% and 39% decrease in non-QVC net licensing income in Q3 and for the 9 months ended September 30, 2020, respectively. However, we are up 19% from the second quarter, showing that the beginning of a recovery for many of our licensees is in progress.  We have successfully signed over 10 new licenses during the third quarter in various categories and continue to work to identify categories and retail channels that present opportunities in the current environment. As I stated last quarter, based on our plan and our strong order book, we were showing sales growth in our wholesale business in excess of 40% for 2020. Some sales orders resumed during the third quarter as wholesales were up significantly from second quarter. Wholesale sales heading into the fourth quarter continue to improve, but will be dependent upon the success of our retail partners in navigating through the pandemic. While our wholesale business was impacted in 2020, we believe we are positioned to resume similar growth levels in 2021 that were shown before we were hit by the pandemic.  Like apparel, our wholesale department store jewelry business was impacted by the pandemic. As previously mentioned, we shifted our sales efforts to the independent retailer or indie channel with great results to date. We expect continued strong growth in this channel of distribution in 2021 and beyond.  In our direct-to-consumer businesses, our Judith Ripka e-commerce business was up 17% over last year. We launched several new collections through the pandemic and are working on some exciting new collaborations for this holiday season and have supported it with an aggressive marketing campaign. Also, earlier this year, we launched our new peer-to-peer digital platform for our Longaberger brand and are seeing great early momentum in both sales associates or stylists recruiting as well as product sales. Our product assortments include home furnishings, accessories, food and basket. We have recruited over 3,500 members to the platform, with new stylists joining each week. This is extremely exciting and shows very significant sales potential, particularly in economies like this one where people are seeking ways to make additional income.  We are testing new categories and brands in these peer-to-peer models and expect to launch live streaming capability in these businesses in 2021. In conclusion, and as I have stated before, through our true omnichannel approach, we have positioned ourselves with a presence in all forms of distribution so that we can reach our customers everywhere they shop. We've also created a highly flexible model that can supply our retail partners through either a wholesale or vertical retail fee-based working capital light model and with our integrated technology platform can do this with great speed and flexibility.  Finally, I'm extremely excited by the potential of our Judith Ripka jewelry business and Longaberger peer-to-peer social commerce platform, especially given recent trends in live streaming-driven commerce and our deep knowledge and expertise in this form of retail sales. These businesses not only diversify our product offering to jewelry, home and wellness categories but give us the potential to harness the power of social commerce through live streaming. Our people, our brands, our flexibility and our strong balance sheet are our strengths. We are doing everything possible to come through this COVID-19 event so that we emerge from it stronger.  Now I'd like to turn the call over to Jim to review our financial results for the quarter and the first 9 months. Jim?
James Haran: Thanks, Bob, and good evening, everyone. I will briefly discuss financial results for the quarter and 9 months ended September 30, 2020. Please note that our financial results are described more fully in our quarterly report on Form 10-Q, which we expect to be filed with the SEC by November 13.  Total revenue for the third quarter of 2020 was $7.4 million, a net decrease of approximately $3.5 million or 42% from the prior year quarter. This decrease was most pronounced in wholesales, which were down approximately $2.3 million year-over-year due to canceled and reduced wholesale orders related to COVID-19. Licensing revenue declined approximately $1.2 million from the prior year quarter due to a combination of the economic impact of COVID-19 on our licensees and also by a reduction in guaranteed minimum revenues of our existing licensing arrangements upon renewal effective January 1 of this year.  Despite these revenue declines, our overall gross profit margin was 83% in the current quarter, up from 73% in the prior year quarter. Gross profit margin from product sales increased from 35% in the prior year quarter to 41% in the current quarter, which results in roughly equal margin contribution on less sales.  Our operating expenses were $6.5 million for the current quarter, representing a $1.1 million decrease from $7.6 million in the prior year quarter. This decrease is primarily due to the cost reduction actions taken in response to the COVID-19 pandemic, including temporary reductions of employee compensation and cutting nonessential costs and includes $0.17 million Payroll Protection Program relief. Partially offsetting the decrease in operating expenses were $0.36 million of bad debt reserves related to the bankruptcy of several retail customers. Net loss is approximately $0.5 million for the current quarter or negative $0.02 per basic and diluted share compared with a net loss of $0.1 million or $0.01 per basic and diluted share for the prior year quarter.  After adjusting for certain cash and noncash items, non-GAAP net income for the current quarter was approximately $0.8 million and non-GAAP earnings per share was $0.04 per diluted share compared with approximately $1.2 million or $0.06 per diluted share in the prior year quarter. Adjusted EBITDA for the current quarter was approximately $1.4 million compared with $1.8 million for the prior year quarter.  As a reminder, non-GAAP net income, non-GAAP diluted EPS and adjusted EBITDA are non-GAAP unaudited terms. Our earnings press release as well as our quarterly report on Form 10-Q present a reconciliation of these items with the most directly comparable GAAP measures.  Moving to our 9-month results. In the first 9 months of 2020, total revenue decreased approximately $8.4 million or 28% over the prior year, of which $5.7 million was attributable to our licensing business. Net product sales for the current 9 months were down $2.7 million or 29% for the same period in the prior year, as the previously mentioned impacts of the COVID-19 pandemic were partially offset by volume growth fears in our power wholesale business during the first quarter of 2020. Despite these revenue declines, our overall gross profit margin was 82% in the current 9 months, up from 78% in the prior year. Gross profit margin from product sales during the current 9 months was 40% as compared to 29% in the prior year.  Our operating expenses decreased by approximately $2.3 million from $22.4 million in the prior year 9 months to $20.1 million in the current 9 months. The 2 main drivers of this decrease in operating expenses are the aforementioned cost reduction actions taken by management in response to the pandemic and government assistance received through the Paycheck Protection Program under the CARES Act, for which we recognized $1.8 million as a reduction to current period operating expenses. Partially offsetting the decrease in operating expenses were approximately $1 million in bad debt reserves related to the bankruptcy of several retail customers. And also offsetting these cost reductions were increase in some of our noncash expenses, including depreciation and amortization expense.  Interest and finance expense for the current 9 months was $0.9 million, down $1.2 million in the prior year 9 months. This decrease is primarily attributable to the fact that the prior year period includes $0.2 million loss on extinguishment of debt as a result of the February 11, 2019, term loan amendment. Net loss was approximately $2.6 million for the current 9 months or minus $0.13 per basic and diluted share compared with net income of $1.9 million or $0.10 per diluted share for the prior year 9 months.  The income for the prior year 9 months notably included $2.9 million of other income related to a gain on the reduction of contingent obligations from the acquisition of the C. Wonder brand. After adjusting for certain cash and noncash items, non-GAAP net income for the current 9 months was approximately $2.1 million and non-GAAP earnings per share was $0.11 per diluted share compared with approximately $3.8 million or $0.20 per diluted share in the prior year 9 months. Adjusted EBITDA was approximately $3.9 million for the current 9 months, which is approximately 30% lower than adjusted EBITDA of approximately $5.6 million for the same period in 2019.  Now turning to our cash position. As of September 30, 2020, the company had unrestricted cash and cash equivalents of approximately $4.8 million compared with cash of approximately $4.6 million at December 31, 2019. This net increase during the first 9 months was primarily attributable to cash provided by operating results, which reflect the combination of collections from outstanding debtors, cash conversion and cost control measures implemented by management and government assistance received through the Paycheck Protection Program. The increase in cash provided by operating activities was partially offset by continued investments in technology and continued principal payments against our term debt.  And now looking at our term debt. At September 30, 2020, our total bank debt was $17.5 million and term debt net of cash was approximately $12.7 million or approximately 2.3x adjusted EBITDA for the trailing 12 months. Our working capital at September 30, 2020, excluding the current portion of lease obligations was approximately $8.7 million compared with $9.5 million at December 31, 2019.  And lastly, we are also taking action to provide additional liquidity and flexibility. We restructured and financed our senior term debt earlier this year, which allowed for us to reduce principal payments and covenant relief. Also earlier this year, we received $1.8 million through the Paycheck Protection Program under the CARES Act. And based on the requirements and conditions on the CARES Act and the Paycheck Protection Program Flexibility Act, we expect that the entire amount of loan will be forgiven and accordingly have treated the proceeds of the loan similar to a grant. And with that, I would like to turn the call back over to Bob. Bob?
Robert D'Loren: Thank you, Jim. This concludes our prepared remarks. Operator?
Operator: [Operator Instructions]. Our first question comes from Robert Marsden with Penn Capital [ph].
Unidentified Analyst: Congratulations on making it through the other end. It appears that the diversification really worked this time.
Robert D'Loren: Thank you. It's been a tough time in the industry, as you know.
Unidentified Analyst: Yes. On something more positive, could you comment regarding the outlook for Walmart? How's the brand doing there? C. Wonder, in the last call, you mentioned that they like the product and they were asking for more SKUs and categories. And if the online testing continues to do well, is there a shot that you get any kind of exposure to the stores in 2021?
Robert D'Loren: We are experiencing very high value customer engagement on their e-commerce platform, which is really interesting when you think about the 4 brands that are currently testing higher price points and higher product value benefits for their customers. But we -- in spring, when we launched, there was an impact from COVID. Fall to date has been much, much better. We're seeing much more engagement. We have some items that are doing very well. We launched 10 new categories under our licenses. So we're seeing some strong sell-throughs with some of the bags at the price points that we're marketing. And we are currently now looking at what the business would look like as we roll forward into perhaps spring or fall, the next phase of this, which would be 250 doors, what that would look like in terms of order minimums, where we can bring the MSRPs in line with what's already on Walmart's floors.  And based on where we are so far, we're feeling positive that we can adjust those MSRPs with greater volumes on the production to succeed on the floor. So that's where we are. And as we go forward, we'll keep everyone apprised in our next call.
Unidentified Analyst: Excellent. It sounds like there's progress being made there. On a second issue, the Longaberger deal. I guess you could say Xcel now is a basket case. But that business, at one point, I think, in the year 2000, did $1 billion in revenues. I know there was a bit of a collection fad going on for that. But as you look out for the next 2, 3, 4 years, do you have any idea that if you guys execute well with this strategy in this business and this format, what type of revenues you could achieve? Is it something to get back to 5% or 10% of the all-time peak and $50 million to $100 million or was that such an outlier that every other year was only that level, and that would be asking a little too much.
Robert D'Loren: So Longaberger historically sold more than baskets. They had a fairly strong tabletop business, the food business. They had a very significant jewelry business. And David Longaberger's vision for the company was that Longaberger, at one point in time, would sell everything for the home. In fact, Dave would say, "Someday, we're going to give the baskets away for free and sell our customers everything for their home." Our strategy was to continue Dave's vision.  Over the last month or so, we're seeing our sales shift. When we launched it with baskets first, and that's really all we brought to market because that's what we had. But today, we're at about 850 SKUs on the site. Last month, 40% of our sales were all things accept baskets. And we anticipate that the business will be at above 1,500 SKUs by the end of Q1, perhaps 2,000 by the end of Q2. And where we will have just about everything that someone would want for their home. We will be launching a wine subscription business very shortly. And the mathematics in that business are a bit geometric. Today, we have over 3,500 members, 1,100 of them are now trained sellers.  And like most direct sales businesses, there's an 80-20 rule. About 20% of your sellers do 80% of your volume. We anticipate that we'll be at about 10,000 members by the end of Q2, maybe even sooner. And if you think of historically, this company, their sales associates did about $6,000 in annual sales. If you're running 10,000 stylists out there, and they're each doing $6,000, you can run the math yourself in terms of where this could go.
James Haran: This is Jim Haran. Just to put a little color on the third quarter, we launched our Longaberger e-comm in the first quarter this year. We did 155% of sales in Q3 than we did in the first 6 months. So we're very pretty pleased at the early progress of the brand and returns on our sales.
Unidentified Analyst: I would expect -- you hope for 7 figures of revenues next year, and that's going to be under what line item in the income statement, the wholesale business? .
Robert D'Loren: It will appear in our wholesale sales, but it's really direct-to-consumer. And one other thing I will add, the ROAs in that digital business is in excess of 5x. It is just -- we couldn't be happier. .
Unidentified Analyst: Have you been able to create any marketing buzz via social networking with it now that you've tried to resurrect it? Or is it sort of still the Middle America stodgy business than it was when it went bankrupt? .
Robert D'Loren: We've generated over 500 million media impressions since we started marketing.
Operator: [Operator Instructions]. Showing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Bob D'Loren for any closing remarks.
Robert D'Loren: Thank you, Operator. Ladies and gentlemen, thank you all for your time this evening. We greatly appreciate your continued interest and support in Xcel Brands. We wish all of you peace, harmony and happiness in the fast approaching holiday season. And as always, stay fit, eat well and be healthy.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.